Operator: Thank you, and good afternoon. I would like to thank you all for taking time to join us for ProPhase Labs First Quarter 2021 Financial Results Conference Call. Your host today is ProPhase Labs CEO and Chairman of the Board of Directors, Ted Karkus. A press release detailing these results crossed the wires today and is available on the company’s website, prophaselabs.com. Before we begin the formal presentation, I’d like to remind everyone that statements made on the call and webcast, including those regarding future financial results and future operational goals and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company’s SEC filings for a list of associated risks. Finally, this conference call is being webcast. The webcast link is available in the Investor Relations section of prophaselabs.com. At this time, I would like to turn the call over to ProPhase Labs Chief Executive Officer, Ted Karkus. Ted, the floor is yours.
Ted Karkus: Awesome. Thank you, Jane. And thank you everyone for joining me and our company ProPhase Labs. This is the first quarter, full quarter that we’ve reported testing revenues and earnings and to put this in perspective, this was a – nothing more than an idea, six months ago, and at six months, we went from not even being in the CLIA laboratory testing business to having two significant labs and generating in the first quarter of this year a significant amount of revenues, and earnings. And I’ll get into the numbers a little bit now. And just to remind everybody, Jane did read the forward-looking statements. I’d like to be very careful in terms of projections this is a volatile business that we’re in. In general, we do not give earnings guidance, but to the extent that I say anything that sounds like guidance, understand the volatility and nature of the business and it’s a dynamic world that we live in this industry, and I’ll get more into that. But please be cognizant of that I am going to do the best I can to give everybody a full picture of what’s going on. But again, that’s as of today and things change better and worse, it doesn’t necessarily need to be worse, it could be a lot better, too. So with that said, I’m going to review a little bit of the numbers, and then I’m going to get more into the actual ongoings of our company and the strategy going forward. We reported revenues of $15.3 million versus $1.9 million a year ago, and net income of $1.1 million versus a loss. Just to break that out a little bit, our lab actually had a profit of $2.8 million. Typically, our manufacturing and dietary supplement business have a loss in the first quarter, this quarter was no different. So that might bring a drag down on the total company numbers. But to be clear, the vast majority of our revenues and earnings are currently in going forward are in our diagnostic testing business. So our lab, pretty nice, maybe not what I would have expected in January when things were really hot. But it’s still really pleased with the quarter to generate $2.8 million profit in lab. And wanted to be clear, we had significant startup expenses in the first quarter that hit our first quarter by the very nature of the word start-up means these will not be ongoing expenses. And so if we were to do hypothetically, even just the same numbers that we did in the second quarter with the first quarter without the start-up expenses, we would be well ahead of the game. We also had non-cash items in the first quarter of about a $1million that was a combination of depreciation, and options and warrants and again, these are non-cash items. So, overall, when you look at the quarter, I’m really pleased with the quarter. This also provided us the opportunity for a $0.30 cash dividend. This is a special cash dividend. I have a history of doing these. It’s a nice way to reward our long-term shareholders. We currently have enormous cash flowing in from insurance.
. : And insurance really wasn’t even set up yet. And I think as I indicated, even when all the insurance was set up properly, and all the billing was set up properly, it can still take 60 days. And we were purchasing consumables, 30 days and 60 days before processing, and then getting paid 30 days to 60 days later, plus, in some cases – instances, it’s taken longer, to get the insurances set up to get the billing properly all that takes time, especially when you’re in a new business. And so we’re now in the last six weeks, and enormous amounts of cash is flowing into the company, from insurance companies. And quite frankly, that cash flowing in has more than covered just what’s coming in the last six weeks is more than covered the $0.30 dividend, which is ballpark about $4.5 million. We have more cash and that’s floated is in the company last six weeks. So, we are a very strong company financially at the moment. And as I told people in the past those that have been shareholders for a long period of time, I am extremely careful, and how our company manages its cash. Our CFO, Monica Brady is even more conservative than I am. At the end of the day, I’m the largest shareholder in the company. And frankly, I care about our long-term shareholders, even more than myself. I would never do anything to take advantage of them. And so you can be rest assured that we’re not going to all of a sudden burn through the cash. To the contrary, we have the strong cash flow flowing into the company from insurance payments. And I’m looking forward to all sorts of strategic initiatives, and given the platform that we have been a NASDAQ public company, having a very strong balance sheet. We have about $49 million of net working capital. We have just over $36 million of cash and cash equivalents, and I guess marketable securities. So that puts us in a fantastic position to take advantage of opportunities, opportunistically. And I’m going to get more into that in a little while. But suffice it to say, I told everyone that initially, we were going to get into the COVID testing, we’re going to get it. We pivoted from being simply a dietary supplement company, manufacturing company to pivoting and to owning CLIA labs for COVID testing. And then the next step will be to pivot into other types of testing. And so I’m going to get in to that a little bit more now. But understand that now we have the cash. We have the balances. We have a growing revenues, and cash flow and earnings. It puts us in a great position when I’m talking to these other companies that are now eager to join our company and to do deals with us. All right, let’s get into the COVID landscape, which is complicated. As I highlighted about six weeks ago, the incidence of COVID dropped in the February to April time period, we peaked in January. I mean, the testing was out of control, the amount of incidence of COVID was out of control. And then all of a sudden there was, as I mentioned, we were doing testing one of our largest customers tested across the State of Texas, we had terrible weather, all the main sites in Texas for testing were actually shut down. And that was from one of our largest customers. But then at the same time across the country, the incidence of COVID started to drop and the amount of COVID testing began to drop. And it appears that it’s level bluff. Now, although again, I can’t guess, which way it’s going to go. But at the same time, that the incidence of COVID drop and the amount of testing drop, we now out of situation where people are burned out. They’re tired of COVID. They’re tired of thinking about COVID. They want to get back to work. They want to get back to go into sports events. They want to go back to all these different things. And the standards are constantly changing and relaxing. So that initially you had to have a PCR test to get into an arena, then it became a PCR test. Or you could just be double vaccinated. And now, in some cases, or in many cases, an antigen tests will suffice, have an antigen test sometimes it’s also called a rapid test, and a rapid test in general, they give you rapid results, lots in very quickly. But at the same time, in most instances, those results are not nearly as reliable as the gold standard, which is PCR testing, which is what we do in our lab. So it’s interesting while there’s been a drop in COVID, and the standards have been relaxed, there’s more antigen testing. So overall, there’s less COVID, is less testing overall. And now a piece of the testing that we normally done for PCR testing is going for antigen testing. So, it’s a very dynamic world that we’re living in with regard to COVID testing as a laboratory. Now, having said that, at some point, invariably, I at least believe in my humble opinion, there will be another wave of COVID. In India is out of control at the moment. And as we all know, COVID goes in waves. It’s no different than the flu, which goes in waves every season. And right now, we’re in the down season, for COVID. We are still doing COVID testing. But that then leads into strategies. And that’s where we have enormous flexibility with our strategy. Again, our PCR is the gold standard, particularly with tests that we do, it’s about as close to 100% as you can get for specificity and sensitivity, we’re talking about 99.7%. Some of the antigen tests out there the reliability as low as 65% or 70%, which means if you get tested, positive or negative, this is like a 70% chance, a little more than two-thirds probability that you’re going to have an accurate result. Now, if you have COVID, does it really even make sense to know that there’s a 70% probability that that’s an accurate test, or that you’re negative than 70%, and all the people that actually have COVID to come back with a negative result, and then think that they’re safe, and that they’re safe with those around. So the antigen test, quite frankly, to me, it’s more psychological than anything else. It’s possible we’re going to go through a wave where right now antigen tests are popular. And it’s possible they’re not going to be four months from now, especially if we have a new wave of COVID. That’s to be seen. In any event, we, because it’s a dynamic situation, it’s always evolving. We have to be aggressive in terms of our offerings. So, we are currently working on a couple of different antigen tests and immunity tests. There are those out in the market that we could actually purchase from other distributors if we want to complement our testing. There’s also an antigen and immunity test, at least one of not two that we’re looking at that we could potentially license, develop further in our lab, sell as a laboratory developed tests. I don’t want to get too complicated here. Except suffice it to say, our next step in the evolution of ProPhase Labs is to introduce other types of COVID tests that go beyond just PCR testing. And that would be the antigen test that provides you with a fast, much faster result. One in particular, I’m working on is a saliva-based antigen test that provides results in seven to 15 minutes. Saliva-based is great, I mean it’s really easy to use, you don’t need somebody to take blood from you, or stick a swab up your nose, it can be self administered, it makes it really efficient, particularly if you’re dealing with a large crowd of people that want to get into an arena. So there are some great positives plus the antigen test, in particular I’m working with has particularly high sensitivity and specificity results. We’re still doing research in that regard. But I’m really excited about potentially antigen and immunity tests that we could be introducing in the future. And then, once you get beyond COVID testing, the next step is to diversify beyond just COVID testing offers. And that’s when we get into all the other types of testing that labs do. Before I get into that, I just want to cover a little bit about the COVID side, but I want to know that COVID testing with PCR and antigen and immunity testing is just the first, sort of the antigen and immunity testing is the next step in our diversification strategy. But then our next diversification strategy is to become a full blown lab with all the other types of testing. So that no matter what happens with COVID, it doesn’t necessarily have to be the end all, be all, to our revenues and our earnings. That’s more for looking further ahead. Within just COVID testing, we’ve announced recently a couple of really big wins. The first one was with the Township of Oyster Bay that was an aggressively completed RFP; we beat out some of the largest labs in the country. The reason why we won, actually they tell us the number one reason or if there’s only one reason, the fact of the matter is, we have tremendous capacity. We have consistently fast turnaround times. And quite frankly, that’s a matter of having the right management in place and the right employees in the right place and doing things the right way. And that’s critically important to us. And so we really pride ourselves on having those 24-hour turnaround times, the lab industry, in general doesn’t have a great reputation, particularly when it comes to COVID testing. Some of the larger labs focus more on their long time customers who do more than just COVID testing. So, when you have a new customer looking for COVID, you’re a lot less worried about them. And the turnaround times again tend to be three days to seven days, maybe they’re a little bit faster, because there’s a little less COVID testing going on. We’ve always pride ourselves on a 24-hour turnaround time. The other thing critically important in the lab business is customer service. Invariably, there are issues. We have great technology, which I’ve reviewed in the past, I’m not going to discuss that again, with the acquisition of VaccTrack, our ability to report results directly to your smartphones. We have great technology with great customer service, and the fast turnaround times. So when people ask me, and they’ve asked the question, how do you compete with a large labs? I always respond, they can’t compete with us. So it’s a question of, can we get the customers? And so we had this crazy explosion of business back in the end of December and January, and then all sudden the amount of testing drops. But you have to understand we’re new to the business. And we’re still building our customer base. So while our total testing dropped after January, which it has, the fact is, we’re just starting to see evidence that all the customers we’ve been working on for the last three or four months, that they’re going to be building business with us. I don’t know the exact timing of that business building. But I can tell you that we have some tremendous, potential with some very large potential awards. And the fact that we just one Township of Oyster Bay, and that was followed a couple of weeks later. With Dutchess County, there’s a lot of potential in both places, almost 300,000 residents in each of these two areas in New York. We are going to be building the marketing in those areas to build up the testing. And then we also have a situation where schools. We’re now getting closer to summer. So there’s less testing in the schools. But now we have graduations, and prom, we also have weddings coming. So there are all of these different factors that work. And then also, there’s still much larger initiatives out there, like the administration, wanting all schools open next September, and nationwide initiatives for testing. We are working to be involved in these nationwide programs that if any of them hit, I can tell you that the numbers are going to be explosive, I can’t guarantee that we’re going to win. But I can tell you we are extremely well positioned given our state of the art equipment, our major capacity and our fast turnaround times. So, we are really well positioned as a COVID testing company and to the extent that there is COVID, I expect us to continue to win customers and win RFPs. All right, that covers COVID. And of course, as I mentioned, COVID is out of control in India. I’m talking to people who say there’s no question that some of what’s going on in India is going to come over here. And it’s a question of when not, if so, but that’s to be saved. In the meantime, I do believe regardless of the waves of COVID. There’s always going to be some COVID testing. And our goal is to be diversified between PCR testing, antigen testing, and immunity testing. So to the extent that there’s some testing, we expect to be a part of it. All right, that’s COVID now. Our first initiative for diversification is antigen and immunity testing that’s still obviously COVID related. Our next step is to look at acquiring labs, and understand, we could build labs or apply for licenses and insurances, but that can take one to three years. I don’t have that much time. That’s just not the way I think, when we decided to get into the CLIA lab business, four weeks later, we require the first lab and eight weeks – six weeks, eight weeks, I don’t know, 10 weeks after that, we had built out a major new lab, and we were doing major testing. I’m not waiting around, as I mentioned earlier, on this call, we have the platform. We have the capital. We have the resources. We’re going after acquiring other labs. They vary in size, I’ve been working on this now for months, they vary in size from as small as about a $0.5 million lab, to a $10 million lab to a $50 million lab, I can’t tell you what we’re going acquire or when, but I can tell you, at least our goal is to acquire one or more labs that give us instant diversification into other types of testing. We are currently doing business with customers who would bring us the other types of testing if we provided it. We then have other customers who would love to do business with us, but don’t want to until we provide the other types of testing. As one small example, I talked to an owner of 13 nursing homes. He said, Ted, I love you, I’d love to do business with you, I would love to move from my other lab. But I’m not going to just split up my COVID business, the other businesses is much greater than the COVID business. But when you diversify, please make me your first call. That’s just an example. But then we have other customers that we currently do business with. And when I say customers, these often are companies who provide the specimen collection services, they’re the ones on the ground, actually going to the nursing homes to test them. And so in those cases, we’re already doing business with these types of customers, and they’d be happy to bring us there are other types of testing, if we were in, your traditional blood and urine, and so forth. So we’re looking at several different labs I have, I can make no guarantees about whether we’re going to acquire one lab, I can only tell you that’s the focus of the company that’s very real. And, judging by the recent past, if I tell you, I’m going to do something, you can assume I’m going to make every effort to actually make it happen. And we certainly have the capital and the wherewithal, in the revenues and cash flow. So capital is not an issue. So, once we get beyond potentially acquiring one or more labs, then and we start building up the other types of testing. And by the way, there’s at least two groups of sales organizations that would love to join ProPhase Labs, as soon as, we acquire another lab, and start building out all your traditional types of testing. What’s interesting in the industry, is that a lot of these labs, the managers, the people in charge, this is very cheap. And it’s funny people laugh all the time when I say people lab industry, laugh all the time, because they say, Ted, you’re absolutely right. And it’s just amazing to me, that they don’t understand how to motivate salespeople. And the way you motivate salespeople by paying them and not shortchanging them. And I’ve actually attracted. And we have attracted a couple of different groups of salespeople who could build up a business in a very significant way, if and when we diversify. So now that’s very serious. It’s a very serious initiative for us to work on. Additionally, we are working on two genomic companies. One is more consumer-oriented, where potentially we would be doing the whole genome sequencing in our lab. But the goal would be to build out and leverage our infrastructure in Food, Drug and Mass retail stores. As you might recall, we used to sell covis [ph] in 40,000, Food, Drug and Mass retail stores, we currently have a line of dietary supplements, our lead product is now in CVS, and Walgreens and Rite-Aid and Walmart. So, we have tremendous distribution to leverage and we could actually marry research and science with the end consumer. And so that’s one genomics company we’re looking at, then we’re looking at another one that’s more on the research side towards doing diagnostic testing for different types of cancers. And I don’t want to go too much detail right now, because obviously this is all hypothetical at the moment. But know that I’m in a very interested in working towards diversifying first into labs that do all the other types of testing, and then the higher level use of a lab for research to get into more sophisticated types of diagnostic testing for the point of view of health related issues and diseases. That’s an awful lot. The last thing I tell you is I’m also looking at a telemedicine company and a healthcare company, the healthcare company, actually, they both have access to large groups of nursing homes, physicians and patients. And again, that was leverage our lab testing services. I said an awful lot. And I think, a relatively short period of time. In fact I finished a little faster than I have in the past. So that only time for plenty of questions. Again, I thank everybody for joining the call. I’m frankly, I’m really pleased with the results. Maybe they’re less than what I might have anticipated in January. But by the same token, and actually it was one of our investment bankers have pointed this out to me, who said Ted, nothing goes up in a straight line and you can’t grow your revenues every week, or even a fairly every month. And he’s absolutely right. But the bottom line is we’ve had tremendous success over the years and within the lab business. We’ve had tremendous success over the last three to six months. And I hope to continue to bring everyone positive results in the future. And with that, Jane why don’t we open it up to questions?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jason Kolbert with Dawson James. Please proceed with your question.
Jason Kolbert: Great. Congratulations, you certainly beat my expectations on the quarter. The thing that strikes me the most about your comments is bidding on potential national contracts. And if you weren’t lucky enough to win something like that it actually could be transformative. Can you go into a little bit more detail about what those prospects might look like?
Ted Karkus: Sure. First of all, Jason, I really appreciate your support. And I also appreciate your comments. The tricky part of this is when you go back to January, I was talking to companies, even some of the companies, some of our customers, and a couple of our customers were talking about doing three to five times the amount of business they were doing in January, only it didn’t come through and I regularly am talking to potential customers and potential initiatives that could be really, really large that don’t come to fruition. And what I don’t want to do is get shareholders excited about something and then it doesn’t come to fruition, I would really much rather just consistently build our company. And if we get surprised by a major win, that would be fantastic. What I can tell you, though, is that we have a lot of really positive initiatives we’re working on, the first of which is very real, and could get our business going again, more similar to what we were doing in January and grow beyond that. The second initiative, when we start talking about national initiatives, again, the Biden administration wants schools open, and they’re not just sending money to the state, but there’s actually a national initiative with RFPs that went out. And we partnered with a couple of major companies that submitted for the RFPs. And we are optimistic that one of those companies that we work with is going to win. And if they win a part of the country, they’re going to give us an enormous amount of business. What I can tell you is, we are perfectly situated for a major initiative, because we have state-of-the-art equipment, 24-hour turnaround times, state-of-the-art technology. So there would be no reason for anybody involved with a major winner of a national initiative, not to use us at least like in the Northeast. And with the national initiative, it’s broken up into four quarters of the country, but even having said that, as I said, one of our largest customers was testing throughout Texas. And, it was nothing for us to FedEx. They’d collect specimens till 6:00 p.m. put them on FedEx, we’d get a made a class Memorial Day, they’d have the results by 6 O’clock at night. So they’re we’re still getting 24-hour turnaround time, even across the country. So there is no question that there are national initiatives to open up schools. There’s also no question, if that initiative is follow through on and I believe that is going to be followed run, there’s going to be an overwhelming enormous amount of business. And if one of the, companies that submitted the RFP, which is partnered with, and we partner with too, if one of them wins even one of the quarters, it will be a transformative amount of business to our company. But I can’t guarantee that’s going to happen, and I can’t spend my time right now, we already filled out all the paperwork, we did all the RFPs, I mean, to give you an idea, when we went Oyster Bay, I don’t even know if that was, 50 pages we filled out of information and data. We already did all that work, I can’t spend my time, days thinking about it. And quite frankly, I don’t. But that type of initiative is very real, and it’s in the background. And what’s interesting is when our stocks sold off, and I really don’t want to talk about stock price, but I start thinking about our stock getting down to liquidating value, is it putting zero value on our laboratory testing business when we have, an enormous amount of state-of-the-art equipment, and we’re doing business and we’re generating revenues and cash flow positive, so I can’t control what the stock price does. But, you’re talking about a situation with very little risk, and huge potential rewards, either from winning the national initiative for COVID. And, or as we diversify and build the company. And, as I told investors all along, if you’re going to invest in our company invest long-term, I have a history of building value longer term, it doesn’t mean I can do it on a monthly basis. I mean, that’s literally impossible to do. And so every move that we’re going to make going forward is going to be, to continue to build the company, longer term for long-term shareholders. And that’s why something like the dividend that we just paid today, I do that for long-term shareholders it’s sort of a small payback for their loyalty. And then I go, and frankly, and that dividend that came out of six weeks of cash flow, literally,
Jason Kolbert: I rarely – have I seen, dividend paid like that. I’d also like to focus a little bit on something you said, which is there were some big your expenses actually came in below my estimates. And so for me, that means that your COGS were below my estimates, which means your margins were higher than my estimates, wouldn’t it? And you also said that, expenses would kind of normalize some of the build out costs go away associated with a lab that occurred in the first quarter. So, I know, you don’t want to give guidance, but how should we be thinking about, those expenses for the rest of the year?
Ted Karkus: Sure. So and I’ve discussed this on past calls, our margins are a tremendously complicated beast. And the reason is, because we have so many different types of customers that we pay different ways. You’re even issues within our numbers with whether or not a payment to a customer should go into COGS to go into the cost of goods sold, or whether it should go into a sales and marketing expense. And in some cases, it’s a combination of the two. It’s really complicated. And so all I can really do in guiding you is to talk about trends. And so far, out of network insurance, the numbers haven’t changed in terms of reimbursement rates and then for those without insurance, it’s an automatic $100, those numbers have not changed. I heard about one lab that was in network somewhere where they cut it below $100. But that hasn’t affected us at all. And in general, I just don’t. So far, I don’t see the revenue side of the picture, changing very much. At the same time, we’ve gotten more sophisticated in the business. And in many instances, our customers who are the companies that are going on and collecting specimens, in many instances, what we’re paying them is less than what we were paying the first customers that we do business with. So and then the last part of this is that there was, it was in tremendous backlog of back ordering of consumables. Back in December, and January, I was really concerned that we were going to have a major customer come in, and we were going to run out of consumables and I thought that would be the worst thing of all time. So, we loaded up on consumables. But what’s interesting is the cost of reagents is coming down. And so if anything, the trend in the cost of reagents is coming down. We’re getting more sophisticated in terms of how we pay our customers. And so far insurance rates have not been coming down. So it’s possible that you could see margin expansion going forward. All right. I don’t want to get into.
Jason Kolbert: Yes, I mean, what’s really important, I know you reported $16 million in inventory. And so that’s a big number. And so I would assume that what you’re really saying is between accounts receivable and inventory as those numbers come down, we could even see better numbers on the top-line.
Ted Karkus: Yes, absolutely.
Jason Kolbert: Okay. Perfect. Thank you, Ted. Congratulations. Great quarter.
Ted Karkus: Really appreciate the questions. And thanks for your participation and your support.
Operator: Thank you. Ladies and gentlemen at this time, there are no further questions, and I would like to turn it back to Ted Karkus for closing comments.
Ted Karkus: Great. Well, listen, I really want to, I actually see there’s one more question, if you want to take that Jane. Question just came in.
Operator: Yes, we do have a question from the line of Robert Danaher, Private Investor. Please proceed with your question.
Robert Danaher: Yes, Ted. Thanks for the good pick my call and great quarter; I just had a couple of questions regarding the date of ownership for the dividend. And whether there’s anything personnel changes, and since the beginning of the year, and the last one is like to make if you can make any comments regarding how you’re, how you feel about a consulting agreement? And how that’s working out for you.
Ted Karkus: I’m sorry, what – in reverse order or what consulting agreement are you referring to?
Robert Danaher: Ted, the one that’s in your 10-K report, the consulting agreement back in September 25 of 2020.
Ted Karkus: Yes. I apologize. We have so many consulting agreements in – I think you’re talking about the one with the major laboratory.
Robert Danaher: Yes.
Ted Karkus: That when we actually that’s a complicated question. I would almost rather you contact me individually for that. But what I can tell you it’s actually it’s pretty straightforward. That’s what the laboratory that as they do testing, they pay back, they have debt to us. And as they do testing, they pay back to us. And so far, everything has been status quo. With regards to the timing of payment of the dividend, if you actually look in the, I believe it’s in the press release the actual date. I don’t want to misquote it. Let’s see, I’ll just tell you very quickly, I’m pretty sure it’s actually…
Robert Danaher: Okay, listen – it’s in the report, I’ll catch you.
Ted Karkus: Yes. It’s definitely in the press release. And then in fact, it says here, the dividend is payable on June 3, to stockholders of record as of May 25. So, you have time if you want to get your hands on the dividends. As far as employees, we ramped up employees in a dramatic way back in December, and January, as we’re building out our second lab. And what you got to understand what I don’t know, I think we might have hired 100 employees in the span of about eight weeks. Anytime you hire 100 employees over a short period of time, you’re always going to have some attrition. And so a number of people weeded themselves out. And of course, we also had a drop-off in revenues, and actually, more importantly, expected revenues, which therefore fit in well with the fact that we had a number of employees that didn’t work out. So, you put that those two together, we’re more efficient now. Our overhead is less now than it was three months ago. And that’s a smart business. If our numbers ramped up in the future for instances, as Jason Kolbert was asking about the national initiatives, if we hit on a national initiative, likely be hiring more people. Right now we’re happy with the headcount the way it is, I certainly wouldn’t comment on any employee in particular, whether they were let go for disciplinary reasons. But in general, there’s also natural, attrition, just from the fact that we hired so many people and some people just doesn’t work out for them.
Robert Danaher: Okay, great. Thanks, Ted.
Ted Karkus: You’re quite welcome. And looks like we have one more question, Jane, I’m happy to take we have little time.
Operator: Our next question comes from Lee Alper with Hammock Investors. Please proceed with your question.
Lee Alper: Hi, Ted, hope you can clear this up. There was some rumor on the – one of the internet boards that the whole bridge lab was closed for equipment problems and the people were laid off.
Ted Karkus: Yes, okay. So that was all blown out of proportion. I assumed that it is somebody short the stock. Somebody actually brought that to my attention. And interestingly, the person was related to P2, people who were fired from the lab. So it doesn’t surprise me when rumors start related to disgruntled employees, and people related, and for the people listening, if you’re talking to former employees and trading in the stock, you probably want to think twice about doing that it’s not – it’s just not smart, especially when people know who you are and other people that were let go. But I can tell you is hypothetically their inspection to take place in lab, the same way that we’ve had a manufacturing facility and we do FDA inspections, I don’t report an FDA inspection, or lab inspections. But to blow it out of proportion, I can tell you that we have never had a hiccup in terms of accepting specimens. And you can see by the numbers, we just had a tremendous quarter. So I will be happy. I really don’t like to address rumors, especially when there’s faulty information in there. But I hope that clears up your question. And Jane, one more – I think, I see one more question.
Operator: We do have a question for a line of Pat Patterson, Private Investor. Please proceed with your question.
Pat Patterson: Okay, Ted, how are you?
Ted Karkus: Awesome, Pat. It’s good to hear from you.
Pat Patterson: Ted, you did an unbelievable job. I mean, I never thought I’d have a chance to even talk to Superman. But now I can say I’ve done it. So my question is – my question is about the antigen test. Because what you were talking about them being unreliable and whatnot, maybe they won’t be – maybe they won’t be really popular six months or a year from the day? I don’t know. But what I was curious about is since you’re going to get into the antigen testing business, how do you go about actually putting the antigen test in the hands of people? Can you address that? How the discretion for?
Ted Karkus: Yes, yes, so there’s two ways, really three ways, for us to potentially distribute antigen test. Number one, when the FDA became overwhelmed last year, with various different types of tests coming to market, those that were developed by CLIA labs, which are called laboratory developed tests LDT. The process for approval for selling them is very different, you want to sell in a store. So as an LDT, you can sell to healthcare practitioners, medical doctors, offices, and so forth. We can also in our testing, since we actually have healthcare providers working for us and our customers are oftentimes healthcare providers that are doing a specimen collection, we can sell to them or partner with them. So for all the testing that we’re doing in schools, and potentially events, we can, if we introduced an LDT antigen test, we can roll that out very, very quickly. And that’s what we’re working on right now. In addition to that, we can also purchase with distribution companies, we can purchase antigen tests. And again, those we can distribute in our testing, obviously, the margins are going to be better and an antigen test that we develop ourselves also in the one that we’re working on ourselves. The reliability results, the sensitivity and specificity are fantastically better than most of the antigen tests out there, and a saliva-base. So, if we can introduce that, to complement our PCR testing, then the testing that we’re currently losing to antigen testing, we’ll be able to bring that back in house, because we’ll be able to provide the same customers with both PCR testing and antigen testing. And for instance, with schools, a lot of the schools now are really into doing the antigen testing. It’s just – it’s easier for them that the results are faster. A lot of this also has to do with politics and with psychology of doing an antigen tests because it’s easier, it’s quick, and all they care about is having a negative result reported, they don’t even care how accurate it is. So, because we’re dealing with that type of psychology, it’s important that we provide both PCR tests and antigen tests. But what’s nice is the one that we’re working on has excellent reliability resulted in. I really don’t want to go into too much detail, because we haven’t finalized any antigen test deals. But we are able to right now offer antigen testing, through a third-party who provides us with the antigen test that we then provide as a part of our testing right now. But the goal ultimately is to introduce our own. And then also not only as an LDT, but what you’re doing here apply to the FDA, for EUA for at home or point of care testing that’s a bigger hurdle. But that’s something that we would be working on as well. If we got the point of care, testing on our antigen test, forget about it the same way that Jason Kolbert asked, you know about something transformative. If we got point of care testing for antigen tests that would be transformative too. Again, I’m getting way ahead of the game and even talking about it. But those are the kinds of things that we’re working on for the future. I hope that answers.
Pat Patterson: Yes, does. Thank you very much, Ted. Great job.
Ted Karkus: Thank you really appreciated, Pat.
Operator: And there are no further questions.
Pat Patterson: All right, awesome. So listen, I just want to tell everyone how much I appreciate you joining the call today. And to tell you, I really am working on behalf of the shareholders. And it’s not just me, and something I didn’t mention on this call, but I have any other. We have a fantastic management team, led by our COO, Steve Kamalic, and our CFO, Monica Brady, and we have fantastic Head of IT and Sergio Miralles, and our two heads are high complexity Molecular Lab Techs, the Head of R&D, Carlos Brewster, and Amanda Vasquez. We just hired a fantastic person to Head of Lab Operations, who officially started working for us yesterday, her name Alex Levi [ph], and then also Jason Karkus, who heads up our sales. I’m really, really pleased with our team, we just had a major potential customer sit in, we just saw sat in with them today. And they were so impressed. In fact, everybody that comes into our company is so impressed with our management team. It almost makes it easier for – easy for us to win awards, and bids, RFPs, when potential customers come and visit us in person. I couldn’t be more pleased when you have a strong management team, you have a strong financial base, fantastic equipment, the sky’s the limit on what we can do. I can’t guarantee success in advance. But we have all the right pieces in place, and all the right infrastructure in place. And the strategic initiatives that we’re working on, I’m so excited about. And I’m hoping to transform a company from we transformed it last year into a COVID lab testing business, I expect to quickly transform that into a COVID lab, not only PCR, but also antigen immunity testing company. And then I expect to transform it once again by diversifying it with other labs into other types of lab testing, and then be on the lookout down the road. Well, if and when we get into the field of genomics. So there’s some really exciting things ahead for our company. And for those of you that are patient, I’m going to do my best to provide returns for all of you. Have a great day. Thanks so much for your time. And thank you, Jane, this can end the call.
Operator: Thank you ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.